Operator: Good morning, ladies and gentlemen, and welcome to BRF SA Conference Call to discuss Fourth Quarter 2014 Earnings. This conference call is being transmitted via webcast in our website, www.brf-br.com/ir. The presentation is available to download in our website. At this time, all participants are in a listen-only mode, and after the presentation we will conduct a question-and-answer session. Instructions will be given at that time. [Operator Instructions] Forward-looking statements related to the company’s businesses, prospects, projections, results and the company’s growth potential are provisions based on expectations of the management as to the future of the company. These expectations are highly dependent on market changes, economic conditions of the country and the sector and international markets, thus, are subject to change. As a reminder, this conference is being recorded. At this conference are Mr. Pedro Faria, Global Chief Executive Officer, Mr. Augusto Ribeiro, Jr.., Chief Financial and Investor Relations Officer and Ms. Christiane Assis, Investor Relations Director. I would now like to turn the call over to Ms. Christiane Assis, who will open the conference call of the fourth quarter 2014.
Christiane Assis: Good morning, and welcome BRS Fourth Quarter and Annual Results Conference Call. At this moment, I would like to hand over the call to Pedro Faria, BRS Global CEO. Pedro?
Pedro Faria: Good morning, everyone. Thank you for participating in our 2014 earnings call. 2014 was an extremely important year for BRF, it was a year of transformation, the structural changes within the organization. We focus a lot an execution with implementation of a number of projects aimed at improving the company’s operating performance in Brazil as well as in international markets. The company’s consolidated revenues for the year including discontinued dairy operations amounted to BRL 31.7 billion, an increase of 4% over 2013. Consolidated EBITDA was BRL 4.9 billion in 2014 from 56% higher than the accumulated year for 2013, which resulted in an EBITDA margin 15.4 compared to 10.3 in 2013. Our net income reached BRL 2.2 billion compared with BRL 1.1 billion in 2013, which translates into an increase of 109%. The company’s cash flow our favorite metric amounted to BRL 4.1 billion in the year, tripled the amount of 2013. And to finalize our return on investment capital right was the tune of 11.8% in 2014 which is a substantial improvement of 4.6 percentage points regarding the return registered in 2013. Talking about our Brazil operations, throughout 2014 we focused our efforts in Brazil and making structural improvements in both logistical and distribution area. We diversified and improved our channel management in areas the company did not reach or did not serve directly, leading to an increasing active clients as well as a reduction in inventory losses and higher profitability. As of June, we started a strong and intensive campaign training in the sales force in the view of including for the 50% each person, enhancing the tools and expanding cross sales this led to some very good results and increase of 22% in the number of clients in small retail in Brazil, reaching a 160,000 points of sale by the end of the year, with also an increase in our cross sales amongst our brands from 53% to 77%. In terms of our level of service provided to our clients, we focus a lot and we think we had a meaningful improvement of 12 percentage points in our [indiscernible] index on time in full by the end of the year. Despite this achievement, we still think there is a long way for us to go to better service our clients. At the beginning of 2014 we change our strategy international market, cutting volumes in markets that no longer represented profitable opportunities to focus a more and more on selected clients, geographies, channels and markets that we think we can better serve. Additionally, we introduce a series of initiatives which translated in improvement in our operation. We have lengthen an improvement in some contractual terms with our clients. We clearly have better inventory management, we reduce operating expenses and we also improve the pacing of shipments through the amount which reduce our sea freight cost for instance and the impacts were failed throughout the entire P&L of the company. We also think those initiatives had led to reduce the volatility of our international markets. In line with our international expansion strategy, which aimed at gaining access increasing access to our clients and consumers, and strengthen our brands, we have continued our move of integrating the distribution into our operations. We have acquired a 100% of the economic rights of our United Arab Emirates distributor, 40% of our Oman distributor and 75% of our long time distributor in Kuwait. Those have all led to a substantial improvement in our operations which can be translated by increase in market share in those markets. We have also announced the signing of binding them around of understanding [indiscernible] in the food in Indonesia creating a joint venture that will explore opportunity in poultry and processed foods in Indonesia. This is the strategic step that opens the door for a market which consists of 250 million people where [indiscernible] consumption is increasing substantially. In terms of our financial management, with the view of maximizing working capital, the company financial team has done a great job resulting an increase of our account stable decrease in our accounts receivables as well as the inventory management which all contributed to a reduction of our financial cycle by almost 11.3 days. The company cash flow resulted this improvement in working capital but also the operating improvement and optimized CapEx policy generated cash to the tune of BRL 4.1 billion as mentioned before. This was three times higher than the accumulative of 2013. These results have allowed us to distribute BRL 824.3 million in dividends and into some equity which is a record in the history of BRF. Following the strategy to focus on assets that are the company’s core business, we have signed an agreement with Lactalis Group to sell our dairy division, the concept was signed in December with the amount of the transaction fixed in dollar terms of BRL 1.8 billion, approximately $700 million at that time. Also in order to optimize our return on investment, we signed a partnership agreement with Minerva relating our beef business. We have changed two of our [indiscernible] facilities in the second half, and also for a stake of 15.2% in the company with the right to appoint two members to their board of directors. The company cash risk position at the end 2014 allows us to take opportunity to sit in the market and we announced a share buyback program of BRL 1 billion already executed which meant that the purpose of the program was to insure the efficient use of the available cash resources in a way that maximizes our return and the allocation of the company’s cash flow. More importantly we promoted in the fourth quarter of 2014 a large event for all of our leadership called the Viva BRF in which we brought 4,000 people under a same roof to – with the purpose of consolidating the company’s new culture of Viva BRF which has [indiscernible] and high performance link to our remuneration tools as one of its fundamental pillars. We are very pleased with the transformation occurred in the company in 2014 and the strategy that has been carefully executed until now. It is important though to mention that 2015 is shaping up as a very challenging year for the Brazilian companies, given the slowdown in the economy, the structural adjustments needed in the economy and in this week the potential impacts we are facing of a strike of truckers which is blocking the roads in Brazil and affecting our operation as well as the likes of all the Brazilians. I would now hand over the call to Augusto, our CFO who will provide more details on the financials and I’ll have to excuse myself, I’ll take one or two questions before I have to go – take a trip to Brazil.
Augusto Ribeiro: Good morning to everyone. All the results that represented here with further the company’s continued operations excluding results from discontinued dairy operations, which are in the process of being serve to Lactalis as we announced in December 2014. The consolidated net operating revenue in the fourth quarter of 2014 amounted to BRL 8 billion, up 6.8% against last year. All the company’s business unit made a positive contribution to these results, through higher volumes in Brazil and it would service as a lot better average price in the international market. Talking more specifically about Brazil, the year of 2014 was such an important for the company, as we started in premier strategy for Brazil. The results in the fourth quarter which is seasonably stronger as they last for the results of 2014 as a whole show that even against the challenging year for consumptions and the economic gone down, we have successfully implemented our strategic growth, anticipated consumption trends in seeking growth in this more [indiscernible] sector. Net operating revenue in Brazil amounted to BRL 3.9 billion in the fourth quarter, up 7.6% when compared to the fourth quarter of 2013. This was mainly driven by an increase in volumes of 10.6% resulting from an improved performance improvement in accumulative products, our seasonal products combined with the [indiscernible] in the sales points as well as our growth in this [indiscernible] channel. So now moving forward into the international markets, the strategy of optimizing volume within some regions of international markets paid off in 2014, combined with the structural change such as improvement in contract terms, better inventory management, reduced operating expenses and balanced volumes, boosted the returns in the regions. Net operating revenue from international operations in the fourth quarter was BRL 3.6 billion, up 5% compared to the fourth quarter of last year. Boosted by an average price that was 17%, almost 18% higher in Reais terms against last year and 5.5% in dollar terms. Accumulative net operating revenue from international operations in 2014 came to BRL 13.3 billion an increase of 1.5% compared with 2013. When we talk about our food service segment, the results for the fourth quarter of the year continue to show growth trends in both revenues and volumes despite the challenging backdrop in the segment of [indiscernible] food consumption. This execution shown by all the teams ensured an increase in sales for the fast-food chain, industrial kitchens and small business throughout the country. We had also achieved extremely positive results in this period with the Christmas cheese campaign. Sales of more than 2 million units were recorded sustained by an improved [indiscernible] which guaranteed that the execution went according to the plan. Net operating revenue for food service reached BRL 573 million in the fourth quarter, an increase of 13.3% compared to the fourth quarter of 2013, which was mainly driven by the growth in volumes 16%, although average price in sales likely by 2.3% in the last quarter compared to – the same quarter of 2013. As mentioned previously, BRF increased its operation efficient presenting stronger results which seem from strategies carried out in Brazil and international market. Coupled with that we also had an important cost reduction in the price of grains were in 2013. These led to broad income of BRL 2.7 billion in the fourth quarter of 2014, an increase of 38.3% compared to the same period in 2013. The growth margin was 33.4% in the last quarter of 2014 compared to 25.8% in the fourth quarter of 2013. Thus far the company’s grow of income in accumulative terms for the year was BRL 80.5 billion, 23% higher than the previous year. Talking about our operating expenses, which came to BRL 1.3 billion in the fourth quarter following [indiscernible] we’ve started seeing at the end of last year, a decrease 1.9% period against period. This was mainly the better management of expenses reflecting the results that came from the zero based budget project that we initialized at the beginning of the year. The accumulative operating expenses for the year were actively stable showing us light increase of 1.1%, these was the result of higher spending on marketing and trade marketing in line with our strategy of given greater focus to the finer consumers and strengthening our brands. In percentage terms, bear in mind that company’s growth, the operating expenses selling in the year and came to 15.9% of our net operating revenue compared with the 16.4% in 2013. It is important here to mention that in the other operational results line, we had a positive impact of BRL 179 million due to the capital gain [indiscernible] with the beef asset transaction with Minerva as mentioned in October. This value offset almost 100% of the expenses of the period. Therefore, the result of the company’s operating improvements can be seeing in the company’s net income for the period. When you look at the continued operations alone, net income sums up to BRL 991 million in the fourth quarter of 2014, almost a BRL 1 billion, showing an increase of 334% against last year. The accumulative net income for the year obtained from continued operations totaled BRL 2.1 billion, an increase of 110% compared to 2013. When we considered both continued and discontinued operations, the company’s total EBITDA was BRL 1.8 billion in the fourth quarter, 135% higher in the same period of 2013 with the margin of 20.9% compared with 9.4% in the fourth quarter of 2014. Accumulative EBITDA from continued and discontinued operations came to BRL 4.9 billion, an increase of 56% in compared to 2013 representing a gain of 5.1 percentage points in the margin. Investments, the investments in growth, support and efficient amounted to BRL 342 million in the quarter, representing a reduction of 9.1% year-over-year. We are also considering this amount BRL 135 million investments in biological assets are bidders. Including the amount of BRL 387 million of investment acquisition on others, we reached a total of BRL 729 million in investments in the fourth quarter 2014. Therefore the investment for the year totaled BRL 1.5 billion in line with the guidance provided directed towards building the processed food plans in the Middle East as automation projects, process improvements and support projects. This number BRL 1.5 billion also includes the BRL 517 million of investment in biological assets. For 2015, we estimate that we will – our investment will amount to BRL 1.3 billion, an addition of 500 – plus an addition of BRL 550 million in the biological assets. In [indiscernible] as following, BRL 500 million to our change in the operation footprint, BRL 400 million for improved in the automation in the clients and BRL 400 million for sustainable growth projects. Well, the results achieved in 2014 were assessments that we have chosen a solid strategy for the company, which we believe will bring us the gains expected in the coming years. We will continue to vividly work on our long-term project such as the go-to-market [indiscernible] seeking continuous improvements in our level of service and further implemented structural changes in logistic distribution with a view to eliminating redundancies, optimizing our industrial footprint and implementing a new pricing model. We believe that out of these project, combined with the peer of products conquered through innovation which blows the potential for growth in the regions where we operate and continues to bring superior results for BRF in the future. I would like to thank you all for participating in this conference call. We are now ready for the question-and-answer session. Thank you.
Operator: Excuse me, ladies and gentlemen, we will now begin the question-and-answer session. Each participants may ask only one question. [Operator Instructions] Our first question comes from Jeronimo de Guzman, Morgan Stanley. Mr. Guzman, you may proceed.
Jeronimo de Guzman: Oh, sorry, I was on the – hi, good morning. I have two questions. One of them was on the provisional matter that was announced today regarding payable taxes and then increase in those. Just wanted to see if you could tell us what the potential impact could be on those? And then a separate question on international, just wanted to gauge how much – is there any easy way you could help us gauge how much of the margin improvements is coming from some of the cyclical factors that we’ve talked about on the raw material prices that are a fact versus some of the more structural changes you’ve made including the freight expenses in the simplification of the organizational structure?
Pedro Faria: Thank you, Jeronimo, thanks for the questions. Well, first of all regarding the tax issue, it’s pretty nil and the outcome of that today, so we are still analyzing, still seeing the impact for the company and for the industry. So we don’t have numbers to share with you right now, something that we’re still working, we’ve been trying to understand actually how it’s going to be implemented throughout the year. First of all, I guess I think it’s valid only from June-July of this year, so we still have to go through the details of that for which product does it apply, etcetera. So there is no news right now on that specific topic. Regarding our margin expansion in 2014 and what is structural and what is other factors like grains, like Forex etcetera currency, what we showed in the market in the last three – the last year is that we made a lot of improvements in terms of our supply chain, in terms of our relationship with the main clients, in terms of how we’ve been dealing with specific regions of the world. So the majority for the benefits actually we believe they are here to stay. We improved, I’ve just given a couple of examples, [indiscernible] cash cycle of freight per kilo of our freight when renegotiated based on our better supply chain provided to those companies, we are delivering better products on a sustainable period of the amount with a very certain frequency. We decreased our SG&A in order to have a better and lean structure within the company. So when you take all that in consideration, we believe that is going to stay. Regarding currency, I’ll just share you some of the examples. If you look at the Middle East for example, we are in a much better shape regarding our results. We are – we have lower inventory levels currently. We invested in increase of distribution capability in the regions and that coupled with actually our facility that we are starting to recognition at the end of last year. We provide a better average to be able to sustain price levels to at least decrease the volatility in those markets. So far looking ahead for 2015, what we are seeing as that the prices has been falling but our ability to sustain our margins, and our ability to sustain our profitability based on what we did last year, very strong and we’d be sustained, that’s our main target for the year.
Jeronimo de Guzman: Okay, thank you very much.
Operator: Our next question comes from Jose Yordan, Deutsche Bank.
Jose Yordan: Hi, I just have a quick clarification on the position of the payroll tax, where you’re one of the companies that chose to pay based on revenues or are you following one of the traditional way?
Pedro Faria: We are following the percentage of revenues, currently, we’re planning that.
Jose Yordan: Okay. So, in a few weeks or a few days I guess you’d be able to share more of the impact on this?
Pedro Faria: Yes, for sure.
Jose Yordan: Okay, and I guess my other question was, how sustainable, I mean you had a increase in the growth margin this quarter that as far as I can clarify that was about 3.3% when it’s above [indiscernible] of everybody, so it was a complete surprise. And I get it that’s somehow the factors are structural etcetera but I mean how should we think of growth margin going into 2015, how much of this is sustainable, how much it’s not, any kind of idea you could share with us about wherever the margin will be based on BRL 290 wherever we are now obviously that’s makes a big difference but just assuming stable currency where we are today.
Augusto Ribeiro: 2015 is going to be a fourth year for the company, if you think about the economy in Brazil, if you think about the truckers strike currently that affect us in the short-term, all the industries actually been affected by that. But we implemented so many changes in the last year that we believe we – we are sure that we are much more structurally prepared to deal with all those issues in 2015. If you think about last year increase there are the number of product sales on the [indiscernible] channel more than 22% from 130,000 point of sales, 160 point of sales at the end of the year. We, for 2015 is a strong year for us to work out the productivity, how to increase the productivity, you know those new point of sales that we obtained until last year. Also we’ll continue to look for new product sales but plus other projects that we will continue to monitor and to put a lot of strength behind it. In Brazil for example, we had a new structure implemented by the end of the year, we created five new regions within the country with the full P&L of profitability, we have marketing and trade of marketing and accounting all those functions are actually being put with more detail, more focus on those regions. So therefore I believe our focus ability, our deployment ability in 2015 will be even better than 2014. Put that in perspective, the year is going to be a challenge one for us but we believe we have everything that we need at least from our side in place for the year.
Pedro Faria: Jose, let me add to Augusto’s points. Of course, 2015 is, we’re just in the start of the year but is shaping up as a quite challenging year as I said. On one hand we see Brazil having significant weakening of the economy, which is being felt in the market place. On the other hand, there is last week crisis with the roads being blocked presents a threat to our operation, sustained operations in which I’m very pleased to say that our team has done a remarkable job sustaining our operations and doing everything that they can. As Augusto mentioned, I think we have a solid plan more importantly, I’m very impressed with our capability in terms of management, discipline execution in Brazil, the granularity of our focus in channels, categories at regions providing us a strong hold in the market place. On the international market we see our opportunities for continued expansion, of course we have a slightly positive trends with a weakening of the Brazilian Reail, still sustaining our margins on the international markets, which coupled with all of the results and the impact of the transformation we had in 2014 makes us carefully optimistic for 2015. I would like to thank you very much for participating in this call. Augusto will be here with [indiscernible] to tackle any pending questions and I look forward to speaking to you on our next quarterly meeting. Okay?
Augusto Ribeiro: Thank you very much.
Jose Yordan: Thank you.
Operator: Our next question comes from Lauren Torres, UBS.
Lauren Torres: Yes, hi, good morning. Just to follow-up on the truck strike, I know you keep mentioning the selling to be an impact or you’re dealing with it, I don’t know if there is anything specific help us quantify what’s happening and what you’re doing to rectify or at least deal with it at this point. Just more color on that. And then secondly, on your Brazil business, you’ve done a good job with rationalizing [indiscernible] and working down to the product mix that you need. I was just going to ask for further color on that, and if you believe you are where you need to be with respect to your product spend? And then with the product gallery launch coming later this year, how are you thinking about that the introduction and investments behind that. Thank you.
Augusto Ribeiro: Thank you. Thank you for your question. Regarding the truck strike, that’s something that actually affects Brazil. It will defend that how long they will hold their current position, the current government is involved, there’d be negotiations. So far we have only two plans that we stopped to [indiscernible]. So we are operating one chief, they did [indiscernible] disclose. So actually it’s hard for us to tell you exactly the impact in our operations, it probably depends when it’s going to – when they stop their current manifestation but again there is something that the transportation of the time economy in the short term that’s been – the delaying of what is happening right now. So far we’ve been working very closely to our operations, they have scattered in Brazil. We have participation in North East, participation in the Center East and the participation in the South. So we are one of the companies in the Brazil that is more diversified when you think about [indiscernible], so from that it says we’ve had kind of advantage regarding how to move production from a place to another. If we can do that there is an SKUs [indiscernible] etcetera. So that’s something that it remains to be seen. If that falls then, by the end of the next week we still have these strike going on that’s hard for us to imagine what’s going to happen with the cities, with the entire country, with the lack of fuel in some places, that’s something that’s that actually bought [indiscernible] regarding the – we are actually sure how it’s going to be deployed for the next week. Let’s see what’s going to happen, until this weekend. Regarding the SKUs rationalization, regarding Perdigao and coming back by the mid of the year, we have a strong plan to reintroduce the specific categories from Perdigao and sausage in July this year. We have started the advertisement of the Perdigao brand broadly speaking in some channels. We already discussed with our maintaining accounts and some clients, we have to introduce the brand. We have – we look forward actually to have Perdigao and those with this categories as you know, we’re playing only with idea. Very strong brand, premium brand, premium prices but as economy goes through – is low down process probably still in 2015 to have a second brand with the strength of Perdigao, it’s a huge asset. Actually we are putting a lot of effort and in long-term, we have a good launch of Perdigao by the mid of the year.
Lauren Torres: Thank you.
Augusto Ribeiro: Welcome.
Operator: Our next question comes from Fernando Ferreira, Bank of America.
Fernando Ferreira: Thank you. Thanks for taking my questions. Just had a follow-up from the Portuguese call, I mean you mentioned that you still had to see a lot of potential improvements right in your internal efficiencies, the services of clients, industrial footprints. But just wanted to understand, in your internal controls I mean how advanced are you on your BRF 2017 plan on your synergy plan, right, have you two-thirds done or less than half, I mean just wanted to get more qualitative answer here. Thank you.
Augusto Ribeiro: Thank you, Fernando. We are – if you think about the BRF 2017 we’re slightly ahead given the good results of 2014. It was really a good year for the company, averaging that we did, was trying to implement actions that could be sustained independently of faculties of the market. So that we believe we had lot of things in place to ensure that we definitely decrease the volatility of our business, specifically talking about extend of market. But going back to your question, regarding where are we, we are slightly above our ambitions at the end of BRF 2017 which is good news for us. And we are creating and implementing new projects as in we move forward. For example, our BRF 2017 plan, we didn’t plan at that time, these movement that we did by the end of last year which was the creation of the regional with P&L responsibility. We believe this will increase the capture of both the projects that is still going on like a strategic pricing to implement that to be capture in Brazil, like the improvement on our quality of delivery our service levels. Now with the regional approach which we’ll – we believe we’re going to help those a lot. So that’s where we are currently. The factory footprint for instance is something that we just started, okay, it’s just three to four years plan, it takes time, we involved fixed asset investment so that’s why – that’s the main reason for taking time to different field. And those figures will be throughout 2016, 2017 as we complete these improvements and notifications that we are planning to do.
Fernando Ferreira: That makes sense. Thank you.
Augusto Ribeiro: Welcome.
Operator: Our next question comes from Alex Robarts, Citi Bank.
Alexander Robarts: Thanks. Hi, everybody. I also want to just follow-up on something that you spoke about in the Portuguese call that was at 2015, I mean taking a look at your investments in CapEx this year stripping out the piece that goes to the breeding stock, it looks like you got about 30%, 40% increase slated this year for CapEx. And I guess BRL 500 million of this and the increment is coming from the footprint rationalization program that are just started in the January, I mean when you think about this incremental investment, how do you look at the returns on this type of project, I would imagine that over the medium term [indiscernible] would be higher than your general maintenance CapEx, but the second piece of the question is, as you engage this project, do you have a feeling or have you allocated some charges for restructuring on expenses to [indiscernible] thinking about and do you expect to have some one-off this year related to that footprint rationalization project? Thanks very much.
Augusto Ribeiro: Thank you, Alex for the question. The CapEx, those moment I would share with you, the majority of them actually, I believe they’re more than 80% [indiscernible] they are supposed, if you’re right in our assumptions to increase our ROIC, to increase our costs to have an important gain in our productivity. Of course, we have those projects that are more relative with the environment and more related with the new regulations that are more involved with the labor requirements in Brazil. So those projects, even though we made some calculations some of them, you don’t have specifically a return to approve it. You had to do it actually in order to keep your expenses above the average or for instance, if there is a new law you had to comply with. So, but the majority of them, more than 80% ROIC improvement, okay. We have a strong calculation, we are very conservative on that sense. We are – as we saw the ROIC improvement last year against 2013, it is something that we continue to monitor. It is going to be still an issue for the company in the coming years, and the factory footprint is one important role in order to help us improve that. Said that, these 20% of increase is a portion that we believe is going to be expanded in 2015, more will come probably in 2016, 2017 as we move forward in our strategy.
Alexander Robarts: But at this point you’re not seeing any specific or material one-offs restructuring charges this year as you complete and execute the footprint rationalization project?
Augusto Ribeiro: Actually no, we are not forecasting that. If that happens, we will communicate the market and as usual as we did throughout, just remember that last year the extended margin BRL 200 million of extraordinary expenses laid off etcetera, [indiscernible] people within the company. So as long as we have seen a lot of value we will continue to do restructuring projects. Said that, we are not forecasting any major events for the year.
Alexander Robarts: Okay, very helpful. Thank you.
Augusto Ribeiro: Thank you, you’re welcome.
Operator: This concludes today’s question-and-answer session. I would like to pass the floor to Mr. Augusto Ribeiro for his final statements.
Augusto Ribeiro: I would like to thank you for this opportunity to thank all our contributors and now of those who made BRF a great company. And moving forward, we actually have brought about a milestone results in 2014. It is important to mention that even though we are looking 2015 with certain operations, we in BRF believe that we have everything that is needed for to sustain our good performance. Of course, challenges will be ahead of us, being the economic slowdown, being strikes and efforts, those things will happen in Brazil but we made so many changes in BRF in 2014. We made some improvement in the way that we look our management. We went through a lot of improvements with our [indiscernible] in our Viva BRF movement, their corporate culture we started to change it, to improve it, to align with our strategy but we believe the current stuff is actually plays in the company and would help us go through whatever comes in 2015. And therefore, the company is – we’re actively optimistic for what we can do next year, actually this year in 2015. Thank you all for your attention and I’ll see you in the next call for the first quarter meeting. Bye.
Operator: That does concludes our BRF SA’s conference call. Thank you very much for your participation. Have a good day.